Operator: Welcome to today's Pacific Basin 2025 Annual Results Announcement Conference Call. I am pleased to present Chief Executive Officer, Mr. Martin Fruergaard and Chief Financial Officer, Mr. Jimmy Ng. [Operator Instructions] Mr. Fruergaard, please begin.
Martin Fruergaard: Yes. Thank you, and welcome, ladies and gentlemen, and thank you for attending Pacific Basin's 2025 Annual Results Earnings Call. Assuming you have already gone through the presentation, we will highlight key points discussed in it before we proceed to Q&A. Please turn to Slide 2. 2025 was a year with various evolving geopolitical and market challenges. 2026 has begun with an escalation of these challenges, not least the outbreak of war in the Middle East over the weekend. However, it was gratifying to see that our integrated platform again demonstrated agility and resilience, leading to a solid financial performance in 2025. During the year, we generated an EBITDA of USD 263.1 million, underlying profit of $39.2 million and net profit of $58.2 million. Our balance sheet remains strong, and we closed the year with a net cash of $134 million and an undrawn committed facility of $485.5 million, illustrating our strong liquidity. All in all, we delivered solid shareholder value in 2025 with a total distribution of $19.5 million through share buybacks and dividends declared for the year. Total shareholder return for 2025 was 46%. Please turn to Slide 3. We remain committed to returning value to our shareholders through both dividends and share buybacks. The Board has declared a final dividend of HKD 0.06 per share, which together with the interim dividend of HKD 1.6 per share distributed in August 2025, amounts to approximately USD 51 million or 100% of our net profit for the year, excluding vessels disposal gains. In addition to the dividend we completed in 2025, our announced share buyback of $40 million. All in all, our committed distribution reached 179% of 2025 net profit, excluding vessels disposal gains. This demonstrates our ongoing commitment to return meaningful value to our shareholders. I will now hand over to Jimmy for a quick overview of 2025 performance and financial review.
Chi Kit Ng: Thank you, Martin. Good evening, ladies and gentlemen. I will share with you some observations on the market and a snapshot of our financial performance for the year. Please turn to Slide 5. The industry faced significant macro headwinds in 2025. Geopolitical risk has remained elevated at the start of 2026 and heightened with the situation in the Middle East developing over the past few days. Market freight rates fell significantly in the first half of 2025 as supply outpaced demand and then gradually picked up in the later part of the year. During the year, market spot rates for Handysize and Supramax vessels averaged about $10,570 and $11,610 per day, representing a decrease of 5% and 10% year-on-year, respectively. However, the FFA saw an uplift since the beginning of 2026. Average at $13,730 per day for Handysize and $15,580 per day for Supramax. FFA for the remainder of 2026 points to a stable outlook. There is no suggestion yet that the most recent increases in FFAs are due to the war in the Middle East. The conflict could tighten markets by creating new efficiencies -- inefficiencies. But equally, it could lead to cargo cancellations and discounted vessels. Please turn to Slide 6. In 2025, our average daily TCE earnings of $11,490 for Handysize and $12,850 for Supramax represented 11% and 6% decrease as compared to the rates in 2024, respectively. Despite the decrease year-on-year, our TCEs continued to outperform the average spot market rates by $910 per day for Handysize and $1,220 per day for Supramax. For the first quarter of 2026, we have covered 88% and 100% of our committed vessel days for our Handysize and Supramax core fleet at $11,890 and $14,450 per day, respectively. These rates are higher than the current market spot rates as well as the FFA. Our operating activity margin also improved and contributed $22.9 million in 2025. Operating activity days increased 1% year-on-year to 27,850 days and generated a margin of $820 per day, which represented a 30% increase year-on-year. Please turn to Slide 3. In terms of vessel costs, we continue our leading position in cost efficiency. Our core daily operating costs for both Handysize and Supramax vessels remained well controlled. Average daily OpEx for both segments were broadly stable at around $4,780. Depreciation costs rose slightly by 2% for Handysize and 6% for Supramax, respectively, mainly reflecting drydocking and fuel efficiency upgrades. Average daily finance costs decreased by 13% to around $130, mainly due to lower average borrowings. Long-term chartered vessel daily rates also improved. Cost for Handysize remained substantially unchanged, while Supramax were 12% lower, mainly attributable to the redelivery of vessels that have been chartered at higher rates. Overall, our costs remain stable with our own fleet breakeven at approximately $4,820 per day for Handysize and $5,020 per day for Supramax. Please turn to Slide 8. Overall 2025 freight market was softer than last year, but our performance has been resilient. Our top line decreased due to the softer market, and our owned vessel costs were lowered by 3%, mainly due to the disposal of 8 older vessels. A 24% improvement in chartered vessel costs was due to the weaker freight markets. And as a result of the changes in revenue and cost items, our operating performance before overheads decreased by 28% year-on-year to $142 million. One-off items also had an unfavorable change in 2025, mainly due to expenses related to the structural changes we implemented during the year for compliance with USTR. Profit attributable to shareholders was $58.2 million for 2025. Please turn to Slide 9. We continue to be disciplined with our capital allocation and remain debt-free on a net basis with a net cash position of USD 134 million. We have available committed liquidity of $756 million at the end of 2025. The total net book value of our 107 vessels was $1.6 billion, while the estimated market value was higher at $1.96 billion, reflecting a healthy buffer above book values based on composite broker valuations. The financial flexibility is further enhanced by the new $250 million sustainability-linked facility secured in July 2025. The facility helped strengthen both our liquidity position and also our ability to respond quickly to market developments. Please turn to Slide 10. Our strong balance sheet, high liquidity and fleet optionality positioned us well to continue executing our strategy and capturing opportunities in a dynamic market environment and we're confident that this will continue in the current disruptive environment. Our operating cash flow for the year was $229 million, inclusive of all long and short-term charter-hire payments. We also realized $66.8 million from the sale of 5 older Handysize and 3 Supramax vessels. During the year, we closed a new $250 million revolving credit facility, as mentioned on the previous page. Our CapEx amounted to USD 116 million, which included $59 million for 3 Handysize vessels delivered into our fleet in 2025 and one Ultramax vessel purchase options exercised in late 2025, which subsequently delivered in January 2026, along with $57 million for dry dockings and other additions. We paid a total of $44 million in dividends, which included the 2024 final dividend of HKD 0.051 per share, totaling $33.4 million. and also the 2025 interim dividend of HKD 0.016 per share, totaling USD 10.7 million. We also spent USD 40 million to repurchase our own shares under our buyback program announced last year. And our net cash outflow from borrowings was USD 97 million in 2025. The strong cash generation ability allowed us to have an improved liquidity for any future opportunities. Please turn to Slide 11. We will continue to focus on maintaining a robust balance sheet and optimizing our cost structure. The Board has conducted a review of the company's long-standing dividend policy of paying out at least 50% of net profit excluding disposal gains and having considered the needs of the business and the best practice capital allocation, the Board has decided to expand the policy to enhance shareholder returns. So with effect from 2026, the company's amended dividend policy is to pay dividends of 50% of annual net profit, excluding disposal gains and increasing up to 100% of annual net profit also excluding disposal gains when the company is in a net cash position at year-end. The Board may also decide to make additional distributions in the form of special dividends and/or share buybacks. We will continue with our share buyback program and to purchase up to USD 40 million worth of shares in 2026, subject to market conditions. I will now hand you back to Martin to run you through the market dynamics and update on our strategy.
Martin Fruergaard: Yes. Thank you, Jimmy, and please turn to Slide 13. So before running through the -- through last year's volumes, we should say that ports and countries within the Strait of Hormuz accounts for approximately 2% of total dry bulk cargoes. Taken together with the Red Sea and Suez Canal, 5% of dry bulk shipping transits these choke points. This is lower than in the tanker and container shipping sector, but it's still enough to create significant new sources of market inefficiencies if voyages are diverted. Pacific Basin's own fixtures in 2025, 3.6% of our total cargo volumes loaded first -- loaded within the Strait of Hormuz and 1.3% of our total cargo volumes discharged in the region. In 2025, minor bulk demand remained resilient, ton mile demand grew 4% as supported by China's export of cement and fertilizer and it's important -- imports of minor metals, ores and concentrates. Flows of semi-processed materials from China to developing market continued to rise sharply supported by China's structural production surpluses and ongoing demand from Build and Road partners' economies, leading to more parceling and longer loading discharge times. Grain loadings decreased 6% year-on-year, mainly due to the sharp reduction in exports from Ukraine and Russia. At the same time, major exporters such as the U.S., Brazil and Argentina entered 2026 with strong momentum with forecasting agency predicting large harvests ahead. Coal loading also decreased 6%, reflecting changes in China's policy targets and a shift in stockpiling dynamics. India has become the world's largest buyer of metallurgical coal and with its steel sector aiming to nearly double its output by 2030, it is expected to play an increasingly important role in future coal demand. Iron ore loading fell 2%, impacted by weather-related disruptions in Australia early in the year. Looking ahead, volumes are expected to be supported by the ramp-up of Simandou in Guinea from 2026, which could displace high-cost production in China and Australia and extend average sailing distances adding to shipping demand. Please turn to Slide 14. We continue to adopt a disciplined approach to fleet growth and renewal, seeing increasing vessel values and strong market interest in modern efficient tonnage. The chart on the left shows the upward trend in both newbuildings and secondhand values for Ultramax and Handysize vessels, reflecting healthy sentiments in the asset market. As at 31st December 2025, our core fleet stood at 120 vessels, comprising 107 old vessels and 13 long-term chartered. Throughout the year, we actively renewed and optimized the fleet by selling 3 Supramax and 5 Handysize vessels while exercising 3 Handysize process options and took delivery of 3 long-term time charters in TC newbuildings from Japan. For 2026, we will have delivery of additional long-term TC newbuildings and our own 8 newbuildings to be delivered in 2028 and 2029. We also retained additional purchase options on a number of our long-term TC in Handysizes that can be exercised or extended subject to market conditions. Please turn to Slide 15. In December 2025, we committed to the acquisition of 40,000 deadweight Handysize newbuildings for a total consideration of USD 119.2 million with delivery scheduled for first half of 2028. These competitively priced ships with early delivery will add meaningful value to our fleet. They incorporate the latest fuel efficient designs, including open hatch and logs fitted configurations with enhanced tank top and deck strength. This provides great flexibility and upgraded cargo handling capability which allow for a more triangulated trading, support stronger utilization and TCE outperformance. In addition, these vessels are significantly more fuel efficient than the older single-fuel vessels, they will replace, and we secured them at competitive pricing with early delivery slots. Looking to our order book, we have 4 Handysize vessels to be delivered in 2028, 4 Ultramax LEV vessels scheduled between late 2028 and '29. And at the moment, 14 long-term chartered vessels with purchase options stretching to 2032. Altogether, this represents 22 potential additions to our core fleet over the next few years. Please turn to Slide 16. Looking ahead, our segment has proven resilience with stable growth in demand to the recent market disruptions. War in the Middle East could tighten the market if ships are diverted, but equally, it could lead to canceled cargoes in the area. Our focus cargoes are estimated to rise by about 3.5% in 2025 and a further 2.5% in 2026, reinforcing the structural demand support for our segment. Overall dry bulk market in the coming years will be affected by geopolitical and energy transition, but we expect our segments will remain resilient. Please turn to Slide 17. In 2025, global dry bulk net fleet growth remained steady at 3%, with Handysize and Supramax supply at roughly 4.1%. Handysize and Supramax newbuilding deliveries were up year-on-year. Total dry bulk newbuilding deliveries increased 7% year-on-year, and supply growth peaked in 2025. New ordering has slowed and the combined Handysize and Supramax order books remained manageable at around 11% of the fleet. The scrapping pool continues to increase. Around 50% of Handysize and Supramax capacity is now over 20 years old. Total dry bulk and minor bulk supply growth is expected to exceed demand growth in 2026 driven by higher newbuilding deliveries and limited scrapping activity. This was also the case at the same time last year. Please turn to Slide 18. The IMF expects global GDP to grow 3.3% and China at around 4.5%. But tariffs, political uncertainty and shifting geopolitics will continue to affect trade flows. If the war in the Middle East proves protracted, a sustained rise in global energy costs could hamper economic activity and create downside risk to the base case scenario, particularly for those countries -- for those economies that are more dependent on energy imports. On the commodity side, geared bulk segment should benefit from steady growth in minor bulk and grains, supported by green energy infrastructure and urbanization in developing markets. Chinese export of semi-processed materials under the Build and Road Initiatives also remain an important driver. From the fleet perspective, around 50% of the Handysize and Supramax fleet is now over 20 years old, though, high delivery volumes and limited scrapping means supply is expected to outpace demand in 2026. Overall, ton mile demand is forecasted to rise by about 2.1% for minor bulk and 1.9% for total dry bulk against a net fleet growth of 4% and 3.5%, respectively. But ton-mile demand rise will be impacted by the ongoing disruptions that continue to impact trade routes. Freight forward agreements indicate a healthy market going forward with FFA curves over the next 2 years being at or near 12 months high. Yesterday was the first trading day since the war in the Middle East started and FFA rose further. So overall, the current spot market is strong and outlook appears positive despite the war and supply seeming outgrowing demand during 2026. Please turn to Slide 19. Against this market backdrop, our strategic priorities for 2026 remain very clear and focused on areas where we can drive the most value. We will continue to renew and expand the fleet selectively and in a disciplined way through modern secondhand vessels, targeted newbuildings, long-term charter with purchase options that are accretive opportunities that offer a strong strategic fit. We continue to focus on improving our cost structure and leveraging our productivity tools and initiatives to further improve our cost competitiveness while striving to grow our fleet. As the decarbonization rules will drive the gradual transit to green fuels, we are transforming our fuel team into a sustainable energy solution team to drive further decarbonization as well as monetizing of our investments. We will continue to build on our excellent progress in respect to digitalization and our AI-enabled technologies to further ramp up our fuel and voyage optimization drive for improved efficiency cost savings, TC outperformance and sustainability. And finally, we will continue to reinforce strong performance management, leveraging our integrated platform and strong balance sheet to grow our business, improve customer service and maximize total shareholder return. Please turn to Slide 20. Our platform is well positioned to deliver sustainable shareholder value. We operate one of the world's largest modern Handysize and Supramax fleets with 250 vessels, [indiscernible] global commercial platform and supported by a diverse base of more than 600 industrial customers. Over the years, we have continuously delivered outperformance with the support of our strong platform, disciplined capital management and sector-leading cost efficiency. As Jimmy noted earlier, we have expanded our dividend policy effective from 2026. The improved policy will enable us to deliver better shareholder return. Here, we'd like to conclude our 2025 annual results presentation by thanking our colleagues at sea and ashore for their contribution to our results. I will now hand over the call to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Nathan Gee.
Nathan Gee: [Audio Gap] returns. Can you talk about the thinking behind sort of proceeding with another $40 million buyback? We like the buyback, but just help us understand the thinking given that your market cap, I think, is now above NAV. So that's the first question. Second question, just in terms of outlook. Just help us reconcile the strong rates that we're seeing right now versus those headlines of supply likely exceeding demand. So maybe a little bit more just in terms of the disruptions that are sort of helping the market despite some of that headline demand supply.
Martin Fruergaard: Yes. If I try first and Jimmy can add to it. First, Nathan, thank you for the questions. Thank you for listening in. First, in respect to the up to $40 million buyback that we announced, I think the key word is up to. So I think the other years, we were a little bit more precise that we would do that investment. This time we say up to. We agree that if you make the calculation, we are trading above fair market NAV. But on the other hand, we also think our platform has some value and of course, we also want to signal that we still believe -- we believe in our business and in our market. And if we find that it's a good time to buy, we will definitely buy that. So we're also trying to signal a little bit to you that we are ready to buy if and when we think it's the right thing to do. I think the buybacks we've done in the last 2 years has been very good actually, but we are ready to do more. But I think the key word is up to $40 million on that part. And then you asked a little bit about the outlook, it's -- I feel a little bit because it was a little bit the same last year. I think 4% growth in supply and 2% growth in demand. These, of course, are Clarksons figures. And I would also say this year, it's -- that's the base that we have. But -- and again, when you look at the disruption and, of course, the disruption we just saw this weekend, when you look at the FFA market, also going forward, of course, the market looks much better I must say at the moment. And I think if you look at our -- we, of course, covered for first quarter and we covered a little bit for the short term, but we do have quite a bit of open tonnage going, open days going forward. So I definitely hope that the market will continue to improve. I think we'll have to see a little bit the impact of the Arabian war and how long it will last and all these things before we sort of conclude on that part of it, but right now, it looks very positive, I must say.
Operator: Our next question comes from Deepak Murali Krishna.
Deepak Murali Krishna: I hope I'm coming through well?
Martin Fruergaard: You are. Yes, absolutely.
Deepak Murali Krishna: So when we look at the dry bulk market, right, we've seen that the TC rates have held up pretty well. And as you alluded earlier, right, last year also, we had about 4% to 5% supply growth in the sub-Cape segments and about 2% to 2.5% growth in the demand side. And something like that is also happening this year, where supply is at around 4%, but the demand growth is likely slowing down based on the slide which you shared for the minor bulk ton-mile. So in that context, what is it that is holding up the rates in your view? And how sustainable is it?
Martin Fruergaard: I think in the predictions that we are using that come from some of the big broking houses and they also struggle, of course, with predicting the disruptors, it's nearly impossible. And I think to a certain extent, they also maybe had expected that the Red Sea would open up and ships could start proceeding through the Red Sea. I think there was some, at least on the container side, that had started that part of it. That's all closed now. Again I think we have a little bit the same situation. Last year was probably also other things like USTR. I think we all step back, not just us, but also others step back a little bit from sending ships to the U.S. that created again disruptions in it. And now of course, it's the war in the Arabian Gulf and then again, the closure. For sure, the closure of the Red Sea is just a new major disruptor. So -- and that, of course, means I think that the commodities will have to be moved for somewhere else. So let's see how it goes. Arabic Gulf is a big exporter of fertilizers and aggregates, cement -- sorry, cement and clinker, that has to be sourced from somewhere else, and that will definitely be longer ton-miles and I think that impacts the market immediately.
Deepak Murali Krishna: Okay. Okay. And if I may ask about your plan about shifting half the fleet under the Singapore flag and -- under the Singapore operations. And then you -- Jimmy alluded to some costs related to that exercise. I just wanted to get a sense of has that excise been completed? If not, then should we expect any additional costs this year as well on that front? And then how do you see that impacting your operations? Or is it more of a structural change only on the organization front, but operationally, there's not much?
Chi Kit Ng: Yes. Thank you, Deepak. Thank you for the question. So the transfer is ongoing. And we -- as we announced last year, the aim is to transfer a number of our vessels to Singapore. So that exercise is ongoing. Of course, the USTR and Chinese special port fees is currently under 1-year truce. So we do have a bit of time to complete the move that we set out to do. Now in terms of the cost that you see there is certain project costs incurred in 2025. We would expect a similar cost to be incurred in the coming year to complete the exercise, although the cost is likely to be less. As you could imagine, when we started off with the exercise, there is a certain amount of initiation costs. So the ongoing exercise would naturally have a smaller impact in terms of the cost. Now you also asked about the impact on operation. I think as we -- when we did the announcement, I think we also mentioned this is a change that wouldn't affect our operation, but it's more on the corporate organization.
Martin Fruergaard: Yes. I think I could add for 2025. And of course, when USTR was implemented and also leading up to it, we did step back from calling the U.S. or at least limited somehow. And I think that had an impact on our earnings last year because that was actually a very strong market. For that reason, I would say, not because we didn't do it because I think many people stepped back from the U.S. So we didn't get the full value out of that part in third quarter and into fourth quarter. But going forward, that has stabilized, and things are back to normal.
Deepak Murali Krishna: Okay. And then my last question is about the performance versus the index. When we look at the quarterly trend the last couple of quarters, at least for the Supramax versus I think we were lagging behind. So what's your take on how soon could this be bridged and probably resulted in outperformance?
Martin Fruergaard: I think all in all, last year, of course, we had a total outperformance. So we did very well in the first half. And as I said, in second half also because of USTR, the market was quite divided. So the Atlantic market, very strong, very high and the Pacific actually not so good. And that, of course, also impacted our earnings. And the usual story is, of course, that when the market increases, we will also run a little bit after the market before we catch up with the market. I think we did catch up with the market here in January, February, but -- and now again, the market starts going up, which is a good thing. But again, that will also mean we'll run a little bit after the market in the short term. So -- but -- but if the market stays at these levels, we will definitely benefit from that in our earnings, but it will take a little bit of time for us to catch up with the index and do the outperformance on that part. Does that make sense?
Deepak Murali Krishna: Yes, it does Martin. And then just sort of another question if I can. When we look at the vessel acquisition, right, you previously used to order vessels at the Japanese yards and then we see an order on the Chinese yard. And given that you have about 32 vessels -- with optionality for 32 vessels, do we think that the new ordering would probably take a step back and you will more exercise the optionality?
Martin Fruergaard: We like to have both. I think we like to have as much optionality on our books as possible. But we also, of course, like to have access to quality yards, both in China and in Japan for our own newbuildings. So I think our strategy is to do so -- to keep all doors open for us. And of course, when we do the newbuildings, of course, we also get a design that we really want that gives us something that we can't get in the market. And for instance, on the Handysize, they are open hatched and give some special features that actually enables us to do more parceling and big cargoes or these things, which is area how we can sweat or optimize the earnings on our ships better. If we take ships on time charter, it's more standard ships in it, but we like the optionality of these long-term time charter deals as well. But I think it would be fair to say that we want to keep all doors open, we want -- we do like very much the optionality in the market. And we are fundamentally positive about our market going forward. Also when you look at the age profile of the fleet and so on. So we like the -- also our newbuildings getting delivered in '28 and '29, we think that's a good time to get delivery of ships as well.
Deepak Murali Krishna: Okay. Makes sense. And then one clarification for these 20-plus vessels which you could potentially add, will this be also to replace some of the vessels which you might look to sell down as you did last year?
Martin Fruergaard: Yes, we will -- our plan, of course, we follow the market now and see how it's developing. I think I explained in the past as well. We always do sale versus continuous trading calculations on all our ships. And we have sort of not a rule, but we tend to look at the ships when they become 20-year-old say, well, it, should we sell or continue to trade. Right now, of course, we do have -- I think we have 8 ships this year that is above 20 or will turn 20. They are, of course, candidates to sell. Of course, at the moment, when we look at the market, we are not in a hurry to do so, and we will have tried to take advantage of the market as possible. So it's not a rule that we have to sell and we don't regret what we've done in the past. But at the moment, we will follow the market a little bit to see how it develops and we are not in a hurry to do anything in this market at least.
Operator: [Operator Instructions] There are currently no further live questions.
Luna Fong: There is a question coming in from the online platform. So the question is, is there any view on how the ongoing geopolitical situation in the Middle East might impact the group's business.
Martin Fruergaard: Yes, first of all, when we look at our fleets and where we are located, we do not have any of our own ships in the Arabian Gulf or Persian Gulf. So in that sense, we are not exposed in that way. We do trade in that area, but at the moment, we don't have a ship in the area. We have one ship on its way, but of course, that will probably divert to somewhere else and not go into the Arabian Gulf. So I think right now, we are also just looking at what's happening, and it looks like things are escalating. And for sure, we believe the Red Sea will be closed for longer. And then of course, we follow to see what's going to happen both in respect to oil price and longer prices and so on. But all in all, it will not have any sort of negative direct consequences for us. We probably see it will change the supply chains and they will be longer and then there will be more ton miles coming to the market going forward. But it's early days, so let's follow and see how the situation develops.
Operator: There are no further questions. We will now begin closing remarks. Please go ahead, Mr. Martin Fruergaard.
Martin Fruergaard: Yes. Thank you very much. Thank you very much for listening in, and have a good evening. Thank you very much.